Operator: Good morning, and welcome to the Eco Wave Power Third Quarter 2024 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Aharon Yehuda, CFO at Eco Wave. The floor is yours.
Aharon Yehuda: Thank you for the introduction and thank you all for joining us for our webcast. Let's dive into updates. Over the first nine months of 2024, Eco Wave Power has remained committed to prioritizing cost efficiency, and I'm pleased to share some positive results. From the second quarter to the third quarter of this year, we successfully reduced our overall expenses by 10% quarter-over-quarter. Here's how we achieved this. General and administrative expenses decreased by $63,000. Research and development expenses were reduced by $29,000. These savings were driven by lower cost of directors and officers insurance and reduced consulting fee. Additionally, we saw an increase in grants during the third quarter which further supported our cost saving efforts. These measures led us to a 73,000 reduction in our operating loss quarter-over-quarter. Also on a positive note, Eco Wave Power entered into an agreement with Oppenheimer Bank to facilitate the buyback process. Ending September 2024 the company commenced the repurchases of its ADSs and plans to continue such repurchase during the open trading window in November and December 2024. By the end of third quarter, we maintained a solid financial position with $7.04 million in cash and short term bank deposits. This reflects only a modest $447,000 decreased from Q2, 2024. To summarize, we are proud to report that even as we are making significant progress across all of the company's key projects in Israel, Los Angeles, Taiwan and Portugal, we have also achieved notable cost reductions that reflects our commitment to both operational excellence and strategic growth. That said, I'll now hand it over to Inna Braverman, Chief Executive Officer of Eco Wave Power, to share more about our progress and outlook. Inna, please take it from here.
Inna Braverman: Thank you, Aharon. Dear Shareholders, as we reflect on the first nine months of 2024, I'm proud to share the significant strides Eco Wave Power has made in both financial management and project execution. Our focus on operational efficiency has enabled us to maintain a strong cash position of $7.04 million in cash and short term bank deposits while reducing operating expenses by 10% compared to the previous quarter. This year has been marked by remarkable progress across all our projects. In Israel, EWP-EDF One project at the Port of Jaffa achieved 0% downtime for the very first time in June 2024, a testament to the reliability of our technology. By September, the project reached 83% of its energy generation target, a 27% improvement over just three months, suppressing the average annual performance of our first grid connected project which was built in Gibraltar. The Eco Wave Power project was built in collaboration with EDF Renewables IL, supported by the Chief Scientist of the Ministry of Energy which recognized the company's technology as pioneering technology and Tel Aviv Municipality. In this unique project, for the very first time, electricity generated from sea waves is supplied to the national grid, a historic milestone in Israel's Renewable energy journey. On December 5, we will have an official opening ceremony of Israel's first wave energy power Station. In Jaffa Port, this groundbreaking global project combines innovation, sustainability and the fight against climate change. The event will include a formal cut the ribbon ceremony by Tel Aviv Mayor, Ron Huldai, followed by a reception at Warehouse 2 in Jaffa Port with senior energy officials, investors and strategic partners. The launch of Israel's first wave energy power plant is more than just a technological achievement, it's a powerful statement about the future we envision. This project at Jaffa Port represents a historic milestone in the global renewable energy journey, proving that wave energy can be viable, clean and consistent source of electricity. We are proud to collaborate with EDF Renewables IL, Tel Aviv Municipality and [indiscernible] to place Israel at the forefront of wave energy innovation. Together we are creating a new wave of possibilities in the fight against climate change. In the United States, we secured a major regulatory milestone, the final Nationwide Permit from the U.S. Army Corps of Engineers for our first wave energy project at AltaSea's premises in the Port of Los Angeles. This groundbreaking project will be the first onshore wave energy installation in the U.S. with installation set for completion by the end of Q1 2025. This achievement also fulfilled key milestones under our co-investment agreement with Shell MRE announced in April 2024, which is expected to enhance our fourth quarter revenues. Our global reach continues to grow with new opportunities. This year we signed our first turnkey wave energy deal in Taiwan, a pivotal step in our strategy to sell wave energy projects to third parties. This agreement has sparked interest from other global players eager to replicate this success and we believe this model will significantly boost our market presence and revenue potential. We anticipate that securing three to four similar deals will position Eco Wave Power as the first profitable wave energy company worldwide, a game changing achievement for an industry often viewed as resource intensive. To support this growth, we have expanded our leadership and engineering teams, including appointing a Vice President of Engineering and forming a U.S. based sales and business development team to drive further expansion. We are also making strides to strengthen our capital structure through our American Depositary Shares repurchase program. Initiated in September 2024 in collaboration with Oppenheimer, this program is set to continue during the open trading windows. We see this initiative as a strategic step toward enhancing shareholder value while providing the flexibility to execute on key priorities. On the legislative front, the introduction of the Marine Energy Technologies Acceleration Act by U.S. Representatives, Nanette Barragán and Suzanne Bonamici represents a major milestone for the marine energy sector. This proposed legislation would allocate 1 billion to accelerate the commercialization of marine energy technologies, providing vital funding for demonstration projects, research and workforce development. We are encouraged by Representative Barragán's support for our California installation and are optimistic that the partition recognition of the importance of renewable energy will continue to grow. While uncertainty exists around the Inflation Reduction Act under the incoming administration, we remain confident that states like California will lead the way in advancing clean energy initiatives. As we close out 2024, Eco Wave Power is steadfast in its mission to revolutionize the renewable energy landscape. Our focus remains on executing strategic initiatives, driving global growth and delivering sustained value for our shareholders. Thank you for your trust and unwavering support as we continue on this journey. Thank you.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.
End of Q&A: